Operator: Good afternoon, and welcome to Skyworks' Third Quarter Fiscal 2023 Earnings Call. This call is being recorded.  At this time, I will turn the call over to Mr. Kris Sennesael, Chief Financial Officer for Skyworks. Thank you. Please go ahead. 
Kris Sennesael : Thank you, Lina. Good afternoon, everyone, and welcome to Skyworks' third fiscal quarter 2023 conference call. With me today is Liam Griffin, our Chairman, Chief Executive Officer and President.  Before we begin, I would like to remind everyone that our discussions will include statements relating to future results and expectations that are or may be considered forward-looking statements. Please refer to our earnings press release and recent SEC filings, including our annual report on Form 10-K for information on certain risks that could cause actual outcomes to differ materially and adversely from any forward-looking statements made today.  Additionally, the results and guidance we will discuss include non-GAAP financial measures consistent with our past practice. Please refer to our press release within the Investor Relations section of our company website for a complete reconciliation to GAAP.  And with that, I'll turn the call over to Liam. 
Liam Griffin : Thanks, Kris, and welcome, everyone. The Skyworks team continued to execute well during the third fiscal quarter despite macro headwinds, delivering in line revenue, along with solid profitability and strong cash flow. Specifically, we delivered revenue of $1.071 billion, posted earnings per share of $1.73, and generated $306 million of operating cash flow.  During the quarter, we continued to advance our technology roadmap and introduced new high-performance connectivity and analog solutions while supporting product launches at an expanding set of mobile and broad market customers. As a result, we expect double-digit sequential revenue and earnings growth in the September quarter.  Turning to our quarterly business highlights. In mobile and IoT, we secured 5G content for Android smartphones across all tiers. We delivered Sky5 platforms for broadband CPEs of leading North American carriers. We supported Wi-Fi 7 launches, our tri-band routers for NETGEAR and TP-Link and Powered Bell's Wi-Fi 6E home gateway. In addition, we continue to gain design win momentum with our 5 gigahertz cognitive wireless audio solutions, supporting Samsung's Q-Symphony soundbars.  Across infrastructure and industrial, we enabled 5G small cell deployments with a top North American operator and ramped timing solutions for AI data centers at a leading cloud provider.  In automotive, we continue to post double-digit year-over-year revenue growth while capturing design for telematics applications across a broad range of manufacturers. And we extended our engagements by leveraging our power isolation portfolio with a North American EV supplier. These highlights demonstrate Skyworks' technology leadership in mobile, while executing on a diversification strategy in high-growth end markets.  Additionally, several disruptive market trends are now unleashing new meaningful growth opportunities for Skyworks. For example, generative AI is proliferating on a global scale with rapid adoption, sparking exponential growth in the amount of data accessed from the network edge to the cloud. In turn, this will further drive complexity in wireless infrastructure networks as AI will require higher throughput, more secure connections, lower latency and improved power management.  Skyworks is uniquely positioned to benefit from these trends with our advanced integrated solutions, supporting wireless infrastructure, cellular connectivity for mobile devices as well as other leading wireless protocols used in billions of IoT products. With that, I will turn the call over to Kris for a discussion of last quarter's performance and our outlook for Q4.
Kris Sennesael : Thanks, Liam. Skyworks' revenue for the third fiscal quarter of 2023 was $1.071 billion, slightly above the midpoint of our outlook. Mobile was approximately 59% of total revenue with broad content gains across our largest customer product portfolio, offset by ongoing weakness in demand from the Android ecosystem as these OEMs continue to reduce inventories.  Broad markets were approximately 41% of total revenue. We have another strong contribution from the automotive, infrastructure and industrial markets. Gross profit was $509 million, resulting in a gross margin of 47.5%, in line with expectations. Gross margin was down 370 basis points year-over-year, mostly driven by temporary factory underutilization as we right-size our inventory levels.  Operating expenses of $182 million declined 4% sequentially and year-over-year, given our ongoing focus on managing discretionary expenses. We generated $327 million of operating income, translating into an operating margin of 30.5%. We incurred $8 million of other expense and our effective tax rate was 13.2%, driving net income of $276 million and diluted earnings per share of $1.73, exceeding the guidance that we provided during the last earnings call.  Now turning to cash flow. Skyworks' business model continues to deliver very strong cash generation. Third fiscal quarter cash flow from operations was $306 million and capital expenditures were $31 million, resulting in free cash flow of $274 million. In fact, for the first three quarters of the fiscal year, we've generated record free cash flow of $1.350 billion and record free cash flow margin of 38%. Also during fiscal Q3, we paid $99 million in dividends and repaid $500 million of our 2023 notes at maturity.  Now let's move on to our outlook for Q4 of fiscal 2023. We expect to deliver double-digit sequential revenue and earnings per share growth in the September quarter. Specifically, we anticipate revenue between $1.190 billion and $1.240 billion, at the midpoint of $1.215 billion, revenue for the quarter is expected to increase 13% sequentially. This outlook considers the seasonal impact from major product launches, leveraging our technology leadership, deep customer engagements and world-class in-house manufacturing capabilities.  Gross margin is projected to be in the range of 47% to 48%, reflecting the cyclical impact of lower factory utilization, while we are reducing our internal inventories. We expect operating expenses in the range of $178 million to $182 million, down 6.5% year-over-year at the midpoint as we continue to optimize operating efficiencies while making the necessary investments in technology and product development to further enhance our leadership position in mobile and drive diversification and growth in our broad markets business.  Below the line, we anticipate roughly $8 million in other expense and an effective tax rate of 13.5% to 14%. We expect our diluted share count to be approximately 160 million shares. Accordingly, at the midpoint of the revenue range of $1.215 billion, we intend to deliver diluted earnings per share of $2.10, an increase of 21% sequentially.  Lastly, given our conviction in Skyworks' long-term strategic outlook and consistent strong cash generation, we announced a 10% increase to our quarterly dividend to $0.68 per share.  And with that, I'll turn the call back over to Liam. 
Liam Griffin: Thanks, Kris. Skyworks continues to deliver solid financial results despite a challenging macro environment. At the same time, we have further advanced our cutting-edge technologies and product road maps, targeting leading market segments that allow us to both expand and diversify our customer base.  In addition, we are well positioned to benefit from powerful market trends, including the electrification and automation of vehicles, the expansion of the Internet of Things, the emergence of augmented and virtual reality and the rise of artificial intelligence, just to name a few.  Looking ahead, we expect to capitalize on these opportunities and deliver growth in our highly profitable business with sustainable strong cash generation.  Operator, let's open the lines for questions. 
Operator: [Operator Instructions] And your first question comes from the line of Harsh Kumar from Piper Sandler. 
Harsh Kumar : Congratulations, Liam, Kris and the Skyworks team. Solid results and very significant leverage in the September guide. My first question was regarding your largest customer who typically comes out with a new phone in the September time frame, Liam. Can you talk about your content at that new particular phone that might be coming out this time around? 
Liam Griffin : Sure, Harsh. Of course, I can't give you all the granularity here. But obviously, our engagement and our technical vectors here continue to be sharp. We expect to be among the leaders with our largest customer. We've got -- we have the know-how. We have the breadth of technology. We have the people and the manufacturing capabilities to execute. So we look forward to that, but we really can't give any further guidance, Harsh, as you know. But we certainly feel like our opportunities with our largest customer continue to be very quite large. 
Harsh Kumar : That's fair enough. Liam, if I can ask about your gross margin, you're working through some inventory that's affecting your margins. But if I look -- let's just say I look forward, what would be some of the drivers that you have to improve your gross margins from where they are? Would they be more sort of industry dependent such as Android and sort of handset unit dependent? Or would there more be kind of Skyworks specific actions that would be bigger drivers of your gross margin? 
Kris Sennesael : Yes, Harsh, I'll take that question. So first of all, we delivered 47.5% in the June quarter, in line with expectations. And at the last earnings call, I indicated that gross margins were going to trend sideways for a couple of quarters. And so we just guided September 47% to 48%, which is pretty much in line with what I said during the last earnings call.  The main issue why gross margins are temporarily a little bit lower compared to the historical levels, which was in the low 50s is mainly because of the macro headwinds and the softer demand environment, especially, as you indicated, in the Android ecosystem, while those customers are themselves reducing their internal inventory levels.  And so as the business over a couple of quarters, will eventually get back and stronger, especially in Android as well as our broad markets business, we will see further improvements in our gross margins.  In addition to this as well, Harsh, as you know, we are also reducing our own inventory levels on the balance sheet. This is probably something Skyworks specific that will take a couple of quarters. That is also contributing to the underutilization. But once we get to the more normalized levels of internal inventory, we will increase factory utilizations and ramp up the gross margins. I do expect the gross margins, again, over time, gradually improve to the low 50s. And then we will continue to work it towards our target model of 53%. 
Liam Griffin : Yes. And in addition to that, Harsh, as you may know, on the plus side, if you look at the cash generation that we're putting forth, very, very strong results. We're looking at 30% to 35% free cash flow, and that's sustainable. So you've got the margin hit, which is basically underutilization, but all of that has been paid for. And we have now the upside opportunity with free cash flow. 
Operator: And your next question comes from the line of Chris Caso from Wolfe Research. 
Chris Caso: I guess just to start, a general market question, when we've been going through an inventory correction here for a number of quarters. It looks like it be the fourth quarter of double-digit revenue declines on a year-on-year basis. So where do we stand now with that inventory correction at your customers? Are we getting to the point where those customers are getting a bit back to normal? And what does that imply for the next couple of quarters in terms of revenue outlook? 
Liam Griffin : Sure, Chris. Yes. I mean we do feel that the bottom is here but most of the markets here that we address, and we should be seeing improving financials as we go forward. And if you look at our guide today, it's pretty strong relative to the peers.  But also the aperture that we have, not only with the larger players in mobile, which is certainly important, and we're very well positioned. But the broad markets business continues to grow. We're doing a lot of good work in automotive. We're doing a lot of good work in data center, a wide range of customers that are engaged with us that are also going through their cycle. But what we're seeing now is a bit of a turn up. We think it's sustainable. I think it's been a tough cycle in semis and tech in general. But our view is a little bit more optimistic now than it was last quarter for sure. 
Chris Caso : Okay. And just a follow-up on perhaps, China, specifically, and that's an area where we've heard some more cautious commentary from one of your peer -- from some of your peers. Do you think that demand from your China customers has also turned the corner? And what should we expect there? What are you seeing now? And what should you expect there? 
Liam Griffin : Yes. It's starting to turn up, Chris. It's not where we want it to be yet, but we've been very, very careful the way we're guiding and have and put kind of pretty low vectors on top line. So I don't think that we're going to be surprised at all in any way. So you look at that portfolio, it's still bumpy. But on the flip side, you have other markets in Android that are doing quite well. Samsung has an opportunity to continue to grow. You've got a few other players out there that are important. Google is another customer has a lot of great opportunity in mobile and other products that we work with. But it does, like I said, it feels like what we're seeing and the dialogue we have with our end customers being more constructive. 
Operator: And your next question comes from the line of Matt Ramsay from TD Cohen. 
Matt Ramsay : Yes. maybe you could -- you guys report, obviously, the broad markets business and -- but there's a bunch of different end markets represented in there that I would imagine are seeing one thing I think the semiconductor cycle that you were speaking about has taught us is that different parts of the industry have different cycles that are not in amplitude or X, Y axes trying to be lined up with each other, and they're all over the place a bit.  So maybe you could break down what you're seeing in the broad markets business. I would assume maybe stronger in automotive, weaker in some consumer areas. But if you could go through the different subsectors, that would be really, really helpful. 
Liam Griffin : Yes, sure. I'll give you as much as I can on that. So you mentioned automotive. That's a market that if you look back two, three years ago at Skyworks, you'd see very, very little revenue at all. We're -- now we're well above the $200 million run rate. We expect that to accelerate substantially, a lot of great IP and technology that we brought forth with the Silicon Labs transaction. And also a lot of really organic work inside of Skyworks to drive more opportunities within these vehicles.  So that's going to be an important part of the business. It already is. If we look at some of these other new markets, cloud, for example, we've got design wins in that area now. We're doing extremely well in an important category in Wi-Fi 6 and Wi-Fi 7. It's going to be a grower in the industry. I think it's going to be meaningful for the RF players with Skyworks being certainly at the top of the pack. And it's just a lot of general diversified products that we came in with the slab transaction that just very, very broadly, which has a number of design wins across multiple categories that's also growing.  So good stuff there. Plenty of room to go. I mean all these markets that we're dealing with have pretty, very significant TAM opportunities for us to grow into. So we're excited about that. We've made a lot of strategic additions in our sales force as well to try to penetrate more of these new markets and create that diversification vector. So we feel good about it. And we're just going to have to -- you're going to have to see it in the numbers, but we're certainly driving to those outcomes and expect we can do it. 
Matt Ramsay : Just as my follow-up, Kris, maybe you could talk a little bit about your view into OpEx in the next few quarters. I think it was a hair below where we had modeled it anyway. And with some of the gross margin pressure given the utilization, maybe that makes sense. But there's a lot of opportunity ahead for you guys as well, particularly in the broad market to invest in. So if you could just kind of level set us on the next few quarters on the OpEx line, that would be helpful. 
Kris Sennesael : Yes. Thanks for that question. And so we can't control the macro, right? And we can control some of the softness in some of the end markets that everybody industry is going through, but we can control, of course, our own operating expenses and the investments that we make in the business. And there, again, we're not hesitating.  We are going to continue to invest and play to win. But at the same time, we're going to continue. And Skyworks is pretty good at that, continue to focus on efficiencies and really spending the dollars where we get the biggest bang for the buck. And as you saw from the prepared remarks, we have been able to trim down a little bit the OpEx, again, without cutting into our key technology development and product road maps, just focusing on effectiveness and efficient processes.  Some of that was also we reduced a little bit of the variable compensation because of the top environment that we play in. That will kick back a little bit as we start the new fiscal year in the December quarter. But overall, I feel good about the level of spending that we do in support of our growth. 
Operator: And your next question comes from the line of Edward Snyder from Charter Equity Research. 
Edward Snyder : A couple of questions, if I could, please. First, there's been a lot of talk earlier this year that Skyworks is going to lose some share in Wi-Fi and the high-end handsets, not the CPE units or the stuff that goes into homes with handsets. And I guess there's some basis for that given how much content you have. I think you have and have had all the remote PAs for both 5-gigahertz and 2.5 as well as some flagship phones.  Maybe you could provide a little color on that. Should we expect your share to moderate a little bit in the second half of this year? Do you feel like you're not giving up anything there given kind of your dominance of that space over the last several years, actually? 
Liam Griffin : Yes. Ed, that has been a stalwart within the business and the Wi-Fi cycle is very strong. We have great position, 6 and going into Wi-Fi 7. I mean, you know these technologies, they're not easy, and there's a big leap between those two cycles, but we're in great shape. There's certainly a tremendous amount of consumer activity that hasn't been consummated. Wi-Fi is a really important technology. I think everybody knows that. And it's used in so many different applications that we try to really deliver the best solutions. And that's been very powerful for us and our customers like the technology. And I think we've got a great opportunity over the next several years. 
Edward Snyder : Okay. And if I could, the transmit DRx module, which is quickly -- it already has become one of the most lucrative modules and some of the high-end phones out there. You guys kind of own that space, but it's been really clear in the last year or so, that the competition for that spot has increased dramatically. I think even Avago is now trying to get into that. I know Qorvo tried to fill a piece. Qualcomm's always talked about, et cetera. Incumbency has a lot of inertia with it. We've seen that year after year after year in iPhone.  Is that still the case of this? Because the flip side of this, we haven't seen incumbency really help anybody in the ultra-high band. That shares bounced back and forth. You had some of it last year, Qorvo and Avago split it. This year, Qorvo is getting a little bit. So I'm just trying to get a feel for is incumbency worth more in the transmit diversity section, do you think -- and think you'll continue to dominate that spot? 
Liam Griffin : Yes, I would look at it at a high level, not necessarily any 1 specific customer, but performance wins and flexibility wins and supply chain wins and having incredible people on our team that can work shoulder to shoulder in the lab to create amazing outcomes. And I think that really is what differentiates us. And it's not just talk. I mean these are real actions, the people in our fabs. Our factories we're using our own technologies, as you know, whether it's BAW, TC-SAW.  All those recipes are really homegrown. I think it makes it unique for us. Our customers love it because they have a voice in the product. And if there's any fine-tuning or tweaking, technically, we could do it. So we love that.  And some of those products that you mentioned, you know probably more than anybody. These are really, really hard products, really difficult with demanding customers. But if you're able to handle that and hit that fast ball, it's great for the customer, and it's great for the supplier like us. So we're looking forward to more of that. We love challenges, and we're ready to do more. 
Operator: And your next question comes from the line of Vivek Arya from Bank of America. 
Blake Friedman : This is Blake Friedman on for Vivek. I might have missed it in the prepared remarks, but I was hoping you could provide what percent of revenue came from your largest customer. And in addition to that, if you're able to quantify the percentage of your broad market sales that come from this largest customer, that would be helpful? 
Kris Sennesael : Yes. So the largest customer in the June quarter was approximately 64% of total revenue when -- if you do the math correctly, you will see that's kind of flattish, slightly up, maybe 1% on a year-over-year basis, which clearly illustrates that we continue to win big with that large customer.  And as you indicate, yes, we went with that customer, not just at the phone, but in every product that they have and every product that brought to the market and that they will bring to the market in the future. And so you will find not only Skyworks content in the iPhone, but you will also find it in the iPad and in the iMac and in the home part and in other products that it will bring to the market. And that's roughly on or about 15% of that revenue with the customer. 
Blake Friedman : Got it. Helpful. And then just maybe a longer-term question thinking about the recovery of certain aspects of the business. I know you derisked your China Android exposure early into the cycle, I believe they only account for 5% of sales or so. So as the market normalizes, I'm just trying to get a perspective on how we should think about your long-term China and broad disclosure in terms of total revenue? 
Kris Sennesael : Yes. So currently, it's very low, right? As you point out, yes, China is less than 5% of our revenue. Samsung is less than 5% of our revenue. We still have Google, but also currently less than 5% of our revenue. As we all know, there is inventory overhang at most of those customers, they -- especially inventory overhang at the phone level that needs to be clear, it's improving. We see higher demand, higher bookings from those customers, but it's improving slowly.  Eventually -- and it's hard to predict the timing, but towards the start of 2024 that will be done and then there will be tremendous upside for us because we continue to win designs with those customers. And again, as that business will start ramping again, we are well positioned. 
Operator: And your next question comes from the line of Christopher Rolland from Susquehanna. 
Christopher Rolland : Thanks for the question. I would love to get into inventory and DOIs and play into your gross margins and underutilization. You kind of hit on this, but would love a little bit more detail in terms of your outlook longer term. So ultimately, where do you guys want your DOIs to go? When do you think you can get there? And I believe the assumption should be gross margins would kind of hang around here for a while until you reach that level? Is that the correct assumption? 
Kris Sennesael : Yes. So first, on inventory, we have now two consecutive quarters where inventory came down slightly in absolute dollars despite the fact that this was our two slowest seasonal quarters. Looking forward to September and December with much stronger revenue and strong sequential revenue growth into September and further into December. We will continue to substantially bring down inventory in absolute doors and of course, on higher revenue as well in terms of days of inventory.  The target is to try to get inventory on or about $1 billion or slightly below that. And -- but to your point, it will take a couple of quarters for us to be able to do that. And so the gross margin will trend sideways for a couple of quarters until we get through this inventory reduction on our side. And until, of course, the overall business starts picking up again, as we discussed with Android, the large customer, stronger tailwinds in the broad markets business and then the gross margin will start picking up again. 
Christopher Rolland : And perhaps one for Liam. You guys haven't emphasized at least on your call, your opportunity in BAW in some time. How are you guys feeling about that? I think you guys have done well, putting it into diversity receive. But would you expect some standalone BAW opportunities to kind of move the needle this year? 
Liam Griffin : Yes, absolutely. We have certainly the most significant customers in very good shape and a lot of great development, shoulder to shoulder work, and that's been going well. But there's also BAW deployments in other markets that we can dive into, even in some of these things, access points and routers and infrastructure products. Think of BAW as a technology, not a product. So it's a very difficult technology and only a few companies know how to do it and also the manufacturing scale and the technology there as well is very unique, and there's just a few companies that can do it.  But the aperture around bulk acoustic wave filtering is really strategic. It's hard to do, and it doesn't have to be handset only, as you mentioned. And we do have a number of examples even in Wi-Fi and some other markets in infrastructure. So it's a key technology. Not a lot of companies do it. There's certainly folks on this call that are listening to peers that do it, but it's not an easy job.  But I think our teams have worked really well. And the aperture that we have is quite wide. We continue to bring on more accounts. We also do a really good job of adopting -- of getting our customers to adopt the higher levels of performance that you get in bulk acoustic wave. So some of that is demonstrated in products and usually in the more difficult and challenging operating conditions, BAW really makes sense, and we're quite good at executing there. 
Operator: And your next question comes from the line of Joe Moore from Morgan Stanley. 
Joe Moore : I wonder if you could address any long-term ramifications from Huawei potentially coming back with its own 5G solution? Does that create long-term opportunity for you? Does that create risk to your existing Chinese customers? Just anything that we should think about that affects Skyworks. 
Liam Griffin : Yes. It appears that Huawei is really off the shelf right now. So it's not even in the forecast. Having said that, there's still opportunity for the China market to grow. Kris mentioned it a little bit. We talked about the opportunity for Android to turn back up and you get the Oppo, Vivo, Xiaomi players. So there's a lot of opportunity there. But Huawei itself as it is at this stage, it's really a nonstarter, could change. But in today's environment, it's really not a customer that we're working with. 
Operator: And your next question comes from the line of Srini Pajjuri from Raymond James. 
Srini Pajjuri: Kris, you alluded to the December quarter growing as well. So given that we're coming off of a cyclical trough in Android, should we expect December to be somewhat about seasonal? If you can talk about directionally how you're thinking about December? That will be helpful. 
Kris Sennesael : Yes. As you know, we only guide one quarter at a time, and so I'm going to stick to that. But directionally, yes, we do expect December to be up sequentially following a normal seasonal sequential growth patterns that we've experienced in the past. 
Srini Pajjuri: Okay. Got it. And then maybe for Liam. Liam, there has been some news about China banning gallium and the germanium exports. Just wondering, given a lot of your products you use those materials. Just wondering if there's any impact that you see in the short term on that. 
Liam Griffin : Yes. We saw the note there. And I will tell you, there's really no risk for us right now. We understand those materials. We've been using them for a while. And our teams have looked deeply at this and looked at the opportunity, and we should be fine. I wouldn't worry about it. We've assessed that there's very little risk to the business we're experts in these solutions and the materials behind it. So it's not -- in our view, it is that something to worry about. 
Operator: And your next question comes from the line of Karl Ackerman from BNP Paribas. 
Karl Ackerman : I know the seasonality is a bit thrown out the window in the current down cycle. But I was hoping you might be able to comment, Kris, on the outlook between mobile and broad markets in September, particularly broad markets, broad markets is usually up, but I think we're going through a little bit of excess inventory. So if you could just highlight perhaps your outlook between mobile and broad markets for September? That would be quite helpful. 
Kris Sennesael : Yes. So obviously, September is a very strong mobile quarter, especially with the content that we have at our large customer and a big ramp that we have supported over the last 10 or 12 years. And so most of the sequential growth in the September quarter is coming from our mobile segment broad markets might be flat to slightly down a couple percent on a sequential basis for the reasons that you just mentioned, right, there is a little bit of inventory overhang in some of those end markets, very similar to what our peers and competitors have indicated over the last two weeks at their earnings calls. We are obviously not immune to that.  Although, again, I think our broad markets business, we are -- as Liam indicated earlier, we are well positioned. There's a couple of spots, including automotive, right? That continues to grow double digit year-over-year. But overall, there's a little bit of inventory overhang that needs to be flushed out in the next couple of quarters. And then broad markets will start growing faster as well. 
Karl Ackerman : Got it. I guess maybe just to follow up on that, if I may. If you could just speak broadly to how your inventory looks outside of the handset business. Again, it sounds like we have some inventory depletion that is still needed to reoccur. But the flip side of that argument then is how do you refill the channel once the channel is depleted, perhaps that exits perhaps it's more clean channel exiting the year. Just any thoughts into 2024 at a higher level in terms of how you look at broad markets once this inventory overhang abates? 
Kris Sennesael : Yes. And maybe first, a clarification, right. A lot of the inventory overhang for -- as it relates to Skyworks is not in the distribution channel at the component level. We typically manage that proactively and try to keep inventory at the component level, at a healthy level. The issue is more that certain customers put components into products and then the products didn't fully sell through to the end customers at the level they were expecting. And so that needs to burn off.  As I said, like it's probably going to take a couple of quarters. But to your point, yes, once that is done, business will come back and will probably come back stronger as we will transition from under shipping to potentially shipping in line with end customer demand, and that will, by its self, fuel the growth. 
Operator: And your last question comes from the line of Ruben Roy from Stifel, Nicolas. 
Ruben Roy : Liam, when you went through the segments or the various units in the broad markets piece, you didn't talk about communications infrastructure. And I think that historically, if you look at core Skyworks and then you add on top some of the timing stuff that you got from the I&A acquisition, that was probably a decent chunk of the business. And so I was wondering if I'm right about that. And then secondly, if you can give us an update on what you're seeing. It sounds like that's a pretty tough market right now and not a lot of visibility rest of this year and maybe even into next year. So would love to kind of understand how you're thinking about that business. 
Liam Griffin : Yes. No, great question. Actually, I should have given that answer already. But no, we actually have meaningful numbers in the infrastructure side. And actually, in the last quarter, we actually had a record in the infrastructure side. So with all of the other chop that we see in handsets and some of the consumer products, the infrastructure business is actually quite, quite strong. There's a lot of room for us to grow into that portfolio. We have very good relationships, and the infrastructure industry tends to be a little bit cyclical, and we're starting to see more opportunity there.  Now some of that is just moving further up in 5G in other markets and even some of the upgrades that we see in Wi-Fi and technologies like that. So they're all important to us, but infrastructure is still very solid, and we expect that to be a driver in '24. 
Ruben Roy : Okay. Okay. And then I guess just as a quick follow-up, Liam, kind of another high-level question around sort of the macro and how you weigh that against design activity. It sounds like things are going well in some of these new areas that you're addressing, auto. Obviously, Wi-Fi has a cycle coming up. But I mean, generally, outside of mobile, if you look at broad markets, how would you assess design activity sort of as you look into the second half of the year versus maybe this time last year? 
Liam Griffin : Yes. I tell you, it's really getting better. The design win activity is better, the customer engagements and discussions that we're having are getting better and more forward-looking. The portfolio is broader than it ever has been. We've got a lot more talent in the organization. Operationally, we've gone through some cyclical hits here with depreciation that we talked about with CapEx, but that's turning into a cash flow play right now that's going to really drive the business and allow us to put forth more powerful investments.  So we feel good about it. And I think the pieces can really drive a great 2024. We're getting through these quarters right now, the business is starting to improve, and we expect to have double-digit performance as we go forward. 
Operator: Thank you. Mr. Griffin, there are no further questions at this time. Please proceed. 
Liam Griffin : Well, thank you all for participating on today's call. We look forward to talking to you at upcoming investor conferences. Thank you. 
Operator: Thank you. Ladies and gentlemen, that does conclude our conference for today. Thank you all for participating. You may all disconnect.